Operator: Good morning, everyone, and welcome to the InfuSystem Holdings Third Quarter 2013 Conference Call. This is your operator, Christine. On the call today is Mr. Eric Steen, Chief Executive Officer; Jonathan Foster, Chief Financial Officer; and Jan Skonieczny, Chief Operating Officer. First of all, let me get some administrative matters out of the way. The company issued a press release this morning. The release is available on most financial websites. Additionally, a web replay will be available on the company's website for 30 days. Certain statements contained in this release are forward-looking statements and are based on future expectations, plans and prospects for InfuSystem Holdings, Inc. business and operations that involve a number of risks and uncertainties. The company's outlook for 2013 and other forward-looking statements in this release are made as of November 12, 2013, and the company disclaims any duty to supplement, update or revise such statements on a going forward basis, whether as a result of subsequent developments, changes, expectations or otherwise. In connection with the Safe Harbor provision of Private Securities Litigation Reform Act of 1995, the company is identifying certain factors that could cause actual results to differ personally, perhaps, materially from those indicated by these forward-looking statements. Those factors, risks and uncertainties include, but are not limited to, potential changes in overall healthcare reimbursement, including CMS competitive bidding, sequestration, concentration of customer increased focus on early detection of cancer, competitive treatments, dependency and Medicare supplier number, availability of chemotherapy drugs and global financial conditions, changes and enforcement of state and federal law, natural forces, competition, dependency on supplier risk and acquisitions and joint ventures, U.S. healthcare reform, relationships with healthcare professionals and organizations, technological changes related to infusion therapy, dependency on website and intellectual property, the ability of the company to successfully integrate acquired businesses, dependency on key personnel, dependency on making relations and covenants and other risks associated with our common stock, as well as other litigation, to which the company may be subject from time to time and other risk factors as discussed in the company's annual report on Form 10-K for the year ended December 31, 2012, and in other filings made by the company from time to time with the Securities and Exchange Commission. While discussing the company's performance, the company will refer to certain non-GAAP measures such as EBITDA, which is not considered a measure of financial performance under the generally accepted accounting principles. Now I would like to turn the call over to Mr. Eric Steen, Chief Executive Officer.
Eric K. Steen: Hello, everyone, and thank you for joining the InfuSystem Holdings Third Quarter Earnings Call. This is Eric Steen, Chief Executive Officer. And with me today are Jan Skonieczny, our Chief Operating Officer; and Jon Foster, Chief Financial Officer. When I joined InfuSystem 7 months ago as CEO, I talked to our shareholders and employees about a focus on connecting electronically with our customers to make both of us more efficient by reducing paper and about plans to expand into new products, services and market segments. These themes continue to gain momentum. And on today's call, I want to touch on 3 things: our third quarter performance and strong based business; the progress we are making on our IT initiatives, including connecting electronically with our customers; and our expansion efforts into new market segments, with products and services that have the potential to drive accelerated growth. The third quarter was another quarter of profitability and significant progress with revenue of $15.7 million, up 11% over the third quarter of 2012. Our core IV pump rentals business, again, showed strong quarter-to-quarter gains. In the third quarter, we made significant strides to finish our first interface between our system and the electronic medical record of a leading software for managing oncology patients. The functionality has been completed, and we plan to go live this month. This initial work will be helpful for not only connecting electronically with all of our existing customers using this leading software, but also the work we are and will be doing with the other software vendors. We made good progress on the automation of our internal third-party payor billing systems. These upgrades and reconfiguration of our system will allow us to be able to increase claims processed and collect more billings with our existing staff and allow some of their efforts to be redeployed to tasks that will reduce the amount of our pending billings. We continued our efforts into new segments and products, with a significant Smart pump close and another new beta account using our ambulatory pumps for post-surgical pain. We invested $1.5 million in our pump fleet in the quarter, bringing our year-to-date pump fleet investment to approximately $3 million. This pump investment, combined with a new pair of contracts that I discussed last quarter, has led to a 7% year-to-date increase in rental revenue compared to prior year. The sales team just recently closed another 185 ambulatory pumps to be implemented over the coming months in new customer locations, continuing this increasing trend of pump fleet investment. We have also reduced total debt by $3.7 million year-to-date in 2013. Our new Houston pump service center will open this month to provide prompt service to our customers and allow us to increase the utilization of our devices and save a projected $0.25 million in air shipments alone in 2014. We received our first group purchasing award with a national oncology chain. The award is for large volume pumps, ambulatory pumps, Smart pumps, disposable administration sets and IV pump service repair and recertification. G&A and selling costs are both down as a percentage of revenue. Our continued focus on cost savings will free up dollars to be invested in IT development and staffing. CMS announced that InfuSystem had been awarded an offer to provide external infusion pumps and supplies in all 9 of the Metropolitan Statistical Areas that were put out to competitive bid, and we have gotten calls from people who now want to work with us. It remains management's opinion that competitive bidding may create opportunities for those companies that are efficient enough to capitalize on them. InfuSystem, from my view, is the most cost-effective model to deliver infusion therapy at home as an extension of in-clinic infusion therapy. In the Affordable Care Act future, it will be important for organizations like CMS to support the most cost-effective delivery of medical care, and the patients' home will continue to grow as a place for treatment of multiple therapies and disease states. I'm often asked how the Affordable Care Act will impact InfuSystem. The U.S. population continues to grow. The population continues to age. And sadly, cancer rates continue to increase. Cancer is not waiting for the Affordable Care Act, but the Affordable Care Act could provide insurance to an increased number of Americans to obtain life-saving treatments, including the infusion of chemotherapeutic agents in the low cost and comfortable setting of the patients' home. I would like to ask Jan Skonieczny, our Chief Operating Officer, to provide some additional comments on the competitive bidding process.
Janet Skonieczny: Thank you, Eric. On October 1, CMS has announced the single payment amounts for all categories in the 9 MSAs subject to Round 1 Recompete of competitive bidding, and InfuSystem received written confirmation the following day that we were successful in receiving a contract in each of those 9 areas. I've spoken previously to the fact that InfuSystem has endured many changes in reimbursement through the years, and I believe that the fact that our bids were right on target is a testament to our level of understanding of the infusion market. The weighted average cut for our external infusion pump category is equal to 21%, which is less than other categories. Contracted suppliers are now listed on the CBIC website, and I am proud to say that InfuSystem is 1 of only 3 national suppliers to receive a contract in all 9 of the MSAs. It's important to also note that none of our direct competitors received a contract in these 9 areas -- in all of the 9 areas. Eric?
Eric K. Steen: Thanks, Jan. In summary, I'm pleased with our ongoing efforts and our significant momentum to improve our customer connectivity that provides convenience, safety and efficiency for our patients and our partner providers and with our efforts to improve internal processes that will lower our cost of providing customer solutions and to continue our expansion efforts into new segments and products. Jon, will you please take us through the numbers for the quarter?
Jonathan P. Foster: Sure, Eric. Total revenue for the third quarter of 2013 were $15.7 million, up 11% compared to $14.2 million for the quarter ended September 30, 2012, primarily in rental revenues. I'd like to take a moment to note that this is the first quarter in the company's history that we've had revenues above $15 million. Total revenues for the 9 months ended September 30, 2013, were $45.1 million, a 6% increase compared to $42.6 million for the same prior year period. The increase in revenues was primarily related to 11% and 7% increase, respectively, in rental revenue compared to prior year quarter and prior year-to-date periods. Sales revenue was up 8% from prior year for the third quarter and down approximately 4% from the prior year-to-date period. The increase in rental revenues continues to be primarily related to the addition of larger customers, increased penetration into existing customer accounts, the increase in colorectal cancer and other cancer patients treated with the company's services and the continuation of the revision to claims processing guidelines by our major group of third-party payors. Gross profit for the 3 months ended September 30, 2013, was $11.3 million, up 11% from 10.10 -- $10.2 million in the same prior year period. It represented 72% of revenues in the current period, which was consistent with the prior year. Gross profit for the 9 months ended September 30, 2013, was $32.1 million, up 4% from $30.9 million in the same period in the prior year. It represented 71% of revenues in the current period compared to 73% in the prior year. The decrease in the gross margin as a percentage of revenue in 2013 reflects the decrease in average direct payor rental margins by competitive response. For the quarter ended September 30, 2013, our selling and marketing expenses were $2.4 million, which was consistent with the third quarter of 2012. For the 9 months ended September 30, 2013, selling and marketing expenses were $7.3 million compared to $7.6 million, a 5% decrease compared to the same period in the prior year. The decrease in selling and marketing expenses is mainly attributed to lower travel, entertainment and compensation cost. Selling costs, year-to-date, represented 16% of revenues, which is an improvement of -- versus the 18% in the prior year period. During the 3 months ended September 30, 2013, our general and administrative expenses were $4.6 million compared to $5.3 million for the same prior year period. General and administrative expenses have been decreased from 37% to 29% of revenues for the third quarter of 2013 compared to the same quarter in the prior year. The decrease is primarily attributed to a reduction in prior year professional fees of $0.3 million pertaining to additional legal and outside service fees as a result of the special meeting and changes in the composition of the Board of Directors and, most importantly, current year reductions of $0.4 million in other general and administrative expenses. During the 9 months ended September 30, 2013, our general and administrative expenses were $14.6 million compared to $17.7 million for the same 9-month period in 2012. In 2012, we had many significant expenses associated with concerned shareholder action and strategic alternatives. This is mentioned in detail within our most recent Form 10-Q and for our strategic alternatives in 2013 as well. But once all these costs are pulled out, on a comparable basis, normal G&A costs were down from $15.1 million to $14.6 million for the 9 months ended September 30, 2013. During the quarter ended September 30, 2013, our total other expenses were $0.8 million compared to $1.1 million in the same prior year period. This decrease was mainly attributed to a net decrease of approximately $0.2 million, of which interest expense decreased $0.5 million as results of costs pertaining to the monthly ticking fee in 2012, which was equal to 1% of the aggregate amount outstanding. This was partially offset by an increase in interest expense of $0.3 million as a result of our new debt facility, in addition to a net decrease of $0.1 million related to the expiration of a tax liability in the prior year period. During the 9-month period ended September 30, 2013, our total other expenses were $2.3 million compared to $2.9 million. This decrease was mainly attributed to a net increase of $0.4 million additional interest expense, of which $0.9 million was due to the cost of the new debt facility and was offset by $0.5 million as a result of cost pertaining to the monthly ticking fee in 2012. These costs were offset by a prior year loss and extinguishment of debt of $0.6 million, a onetime cash received of $0.3 million, which was related to a mutual insurance policy we received in the first quarter of 2013, and a decrease of $0.1 million related to the expiration of the aforementioned tax liability in the prior year period. Now for a discussion on our rental revenue turnover ratio for the quarter. Looking at the third quarter of 2013, we experienced a rental revenue ratio of $1.56. This compares to $1.59 in the previous quarter and $1.56 for all of 2012. In the third quarter of 2013, we surpassed the 2000 increase in the rental fleet of $2.5 million. We've increased the rental fleet year-to-date in 2013 by $2.8 million. This continues to set a good foundation for our rental business going forward. As of September 30, 2013, we had cash and cash equivalents of $0.9 million and $5 million availability on the credit facility compared to $2.3 million and $4.7 million, respectively, at the end of 2012. At the end of the third quarter, we had total debt -- we had a total debt position of $27.6 million, which compares to $31.3 million as of the end of 2012, an improvement of about $3.7 million. Cash generated by operating activities for the 9 months ended September 30, 2013, was $4.8 million compared to $5.8 million for the 9 months ended September 30, 2012. Although net income was significantly improved from 1 year ago, increases in accounts receivable are offsetting any cash improvement at September 30, 2013 when compared to the prior year. However, through better management of payables, our net working capital days were down as of the end of the third quarter to 53 days versus 63 days as of the last fiscal year. These calculations include medical equipment held for sale or rental. Adjusted EBITDA for the third quarter of fiscal 2013 was $4.3 million compared with $3.6 million from the year-ago period. For the 9 months ended September 30, 2013, adjusted EBITDA was $11.3 million compared with $10.5 million in the same prior year period. We use adjusted EBITDA as a means to measure the company's operating performance, and we have the full reconciliation of adjusted EBITDA, a non-GAAP measure, to net income or loss in our press release issued this morning. The company defines EBITDA as earnings before interests, taxes, depreciation and amortization. Net working capital days improved 8 days for the 9 months ended September 30, 2013, compared to December 31, 2012. We experienced a decrease from 63 days to 53 days, mainly due to better management of accounts payable. Without a unique arrangement of a portion of our pump inventory, which I'll discuss in a moment, we would have achieved 49 days. The detail is broken down as follows: We ended with accounts receivable day sales outstanding, or DSO, at 53 days compared to 52 days at December 31, 2012. This increase was due to timing of billings in September. Our day sales and inventory, or DSI, remained consistent at 8 days. Our day sales and medical equipment held for sale or rental increased from 16 to 17 days due to mainly a unique pump inventory arrangement on roughly $700,000 of pumps. We do not pay for the pumps until we sell them, as I've said before, I wish we had all of our inventory with this type of an arrangement. Such arrangements should aid in increasing pump sales. Day sales and accounts payable increased from 13 to 25 days due to tighter cash management to vendor terms. This figure does not include the liability for the aforementioned pumps. Eric?
Eric K. Steen: Thank you, Jon. In the fourth quarter, I expect our momentum in connecting electronically with our customers and our expansion efforts to continue. Organic growth will continue by capitalizing on our growing number of payor contracts and our growing pump fleet investment. We will continue to grow in new segments and therapies and continue to expand our footprint with the opening of a new location. Going forward, we will be using the cash we generate to buy pumps, invest in IT and pay down debt. Year-to-date through September, we had paid down debt by $3.7 million. The fourth quarter debt pay-down should be similar to previous quarters, mainly dependent on the opportunities we see to expand the pump fleet and to grow market share of all infusion therapies. In closing, I look forward to more visits, meetings and calls from our shareholders. I will be attending the LD Micro Main Event in Los Angeles the first week of December and the Sidoti Conference in January. And finally, I want to reaffirm management's guidance on high single-digit revenue growth through 2015. At this time, I would like to answer any questions that you may have.
Operator: [Operator Instructions] Our first question comes from Joe Munda from Sidoti & Company.
Joseph P. Munda - Sidoti & Company, LLC: In the press release, you talk about the growth with the addition of new customers, as well as the penetration of existing customers. Can you give us some sense or some idea of how many new customers were added? And what that pump opportunity would be in -- or was in the third quarter?
Eric K. Steen: Yes, great question, Joe. New customers in the consolidating market, it's hard to -- you could come up with some different answers. And so one thing I would say is there's a number of new facilities that we're putting pumps into, and sometimes the facilities are an acquisition by a current large integrated health network account that we have. And I would say, as an editorial comment, a consolidating market is a good thing when you're the market leader. And I think the one number I mentioned is we've just already -- as this month's rollout for the fourth quarter, I mentioned we already had closed 185 pumps that are -- haven't been purchased yet. And then I think you can also see from the $1.5 million in pumps we bought in the third quarter alone is an indication of the patient growth we're having and that could be something -- that could be another number that I report as how many patients we're serving because it doesn't matter how many particular sites of care there are, it's how many patients that you treat in those consolidating sites of care.
Joseph P. Munda - Sidoti & Company, LLC: Okay. Eric, you talk about the electronic connectivity and a big push for the integration with EMR software. Can you give us a little bit more color there as to exactly what's going on? What -- is the pump -- how is that communicating with -- I'm just a little confused. If you could give us any more color there, that would be great.
Eric K. Steen: Yes, absolutely. And I think, Joe, because I -- as you know, I spent 20 years running Central Admixture Pharmacy Services, and that was a business that we took from PHACS to a standalone PC system to an interface directly with the customers' management information system. And so what the goal is -- and in this case, it's nothing to do with the pump. It's not wireless connecting with the pump. It's how we get the information, the -- I think there's 40 points of data, 40 data points that we need about that patient to be able to bill their insurance, the patient, their date of birth, there height, their weight, their doctor, their diagnosis, all this information. And today at InfuSystem, there's a lot of paper here in the office. And it's a lot of paperwork for our customers, and it's a lot of paperwork for us. And one thing that I've learned in the business, if you can make the customers more efficient in our busy healthcare setting, they like that, and that will attract more customers. So the #1 goal is taking a lot of paperwork out of our customers, and it's sort of like pushing the button and getting that information to come over to us digitally and electronically. And the secondary benefit is it's also going to make us a lot more efficient. And that's what I -- when I mentioned being able to process more claims and have more patients go through our system without adding existing staff. And I think that's one of the things as InfuSystem has grown in the past with customers, more people get hired in our billings and claims processing area, and we're going to move into the electronic age here and be more efficient. And so it's getting the information, and a lot of that information resides in the electronic medical record. I'll have a press release soon with the name of the software company that we're interfacing with when we complete it and get their permission to do a release, and then we'll continue down the line and continue to work with the leading softwares to get all that information directly out of their system, so our customers aren't bothered with having to fax us a lot of paperwork.
Joseph P. Munda - Sidoti & Company, LLC: Okay. My next couple of questions are for Jon. Jon, you talk about OpEx. I mean, x all the strategic alternatives, are we finally seeing a clean OpEx level here? And is this something that we can continue to kind of model off of going forward?
Jonathan P. Foster: Well, great question, Joe, because that's -- G&A has been cloudy for about -- since I've been here. As you see, in the 3 months ended September 30, in the press release, we have a reconciliation of adjusted EBITDA. There's still a little bit of noise, roughly $300,000 of noise in the quarter. And for the 9 months, it's still roughly $1.4 million in a year-to-date number. So if you backed that out, yes, you're getting at some good numbers. But what you're going to see going forward is if there's any increase in G&A, it will be coming from the IT initiatives, which should have some cost savings or revenue generated -- generation opportunities associated as well, so yes.
Joseph P. Munda - Sidoti & Company, LLC: Okay. No, that's helpful. And then, I guess, my final question, I mean, cash balance, I mean...
Jonathan P. Foster: I'm sorry, Joe. Joe, I'm sorry, when I'm saying the $1.4 million, that includes stock comp, and the $300,000 for the quarter included $200,000 of stock comp. It's only $126,000 of noise for the quarter.
Joseph P. Munda - Sidoti & Company, LLC: $126,000? Okay.
Jonathan P. Foster: Yes, yes, sorry about that.
Joseph P. Munda - Sidoti & Company, LLC: Yes, no worries. I guess my last question comes to the cash balance here. You're at about $908,000 through the 9 months here. You're talking about pumps. You're talking about paying down debt. Is there any concern about a cash crunch here going forward? Are you going to be able to generate enough cash flow here to cover both, whether it'd be the pumps, as well as the debt pay-down that you're talking about?
Jonathan P. Foster: Joe, that's another great question. As we've said in the past, our priority has been to: one, buy pumps because we have a turnover ratio in the $1.50 range. That's just a great investment you can't pass up. At the same time, we are focused on paying down debt. But our first priority is servicing our customers. Our relationship with Wells Fargo is just fantastic and PennantPark. They're great lenders. We've been able to work with them fantastically. We do have access to some capital lease lines. And so long as we stay in the high single digits, double digits, I think we're in good shape. As you can see this quarter, we bought a significant amount of pumps, and we were still able to pay down debt as well and maintain roughly $6 million in liquidity.
Eric K. Steen: I'll just add to that. Joe, I'm not a bit worried about it. For someone that comes out of sales and marketing, I think I'm fairly conservative on cash because I'm indelibly etched from running a startup company where you are looking at the end of the month to make sure you can make payroll. So we're definitely not going to be blowing through money, but I think we are finding ways to save money. And as G&A and selling costs have gone down as a percentage of revenue, I think we'll see those costs continue to go down as well.
Operator: Our next question comes from Boris Peaker from Oppenheimer.
Boris Peaker - Oppenheimer & Co. Inc., Research Division: I just have a few more follow-ups. On the IT upgrade, do you have a kind of a time line for the cost, as well as just the overall time line for completion of this process?
Eric K. Steen: Boris, it's going to be an ongoing project. It's -- I don't see a time where we are going to flip the switch and say the project is done. So there's a -- we have an IT roadmap. I had mentioned Mike McReynolds on the calls before. I'm very happy with him as my first hire being the Chief Information Officer. And I would say everything we're doing, we're doing it with looking at ROIs and internal rate of return. And there's a couple of different paths that we can take as we upgrade our systems and the way we do things. And I -- but as far as a specific time line for completion, it's going to be an ongoing project. I mentioned to someone the other day as I'm working on the strategic plan, one of the goals I want to have is what percentage of our customers do we service electronically. And the person -- the optimistic person that I was with had a data out in the future for 100%. And I kind of laughed because having dealt with a variety of healthcare customers before, it's up to them when they're able to let go of paper. We're not in control. We're dependent on them. But we do have some goals on how many of the orders that we're going to receive electronically, and it's going to be an ongoing process.
Boris Peaker - Oppenheimer & Co. Inc., Research Division: I'm just curious how does your kind of IT tie-in to some of your customers or your kind of future outlook for this tie-in to the customers compared to some of the competing pump rental companies. I mean, is everybody still on paper? Or are you trying to catch up? Or are you ahead of your competition? I just kind of want to get a sense of that.
Eric K. Steen: I would say that there are aspects of some of our competitors that are ahead of us at this time. And then with some of the things that we're doing, we're going to leapfrog some of those aspects of the competition. I would -- although InfuSystem is a leader in our space today, I don't believe -- I would not say we're the IT-innovative leader today, but hopefully, we will be in the very near future.
Boris Peaker - Oppenheimer & Co. Inc., Research Division: Okay. And also you said you have increased your pump fleet. Any updates on the actual utilization rate of the existing pumps? Or is that a metric that you guys keep track of on a kind of a standardized basis?
Jonathan P. Foster: That's a great question, Boris. We've had some discussion in the past regarding utilization. We do keep track of utilization internally. But it's very technical, and they're -- we analyze it in detail constantly. But we think the best measure for the public markets and really cutting to the chase what matters is matching revenue with our investment in the pump fleet. And with the recent change on our cash flow statement in the footnote on PP&E, where we're breaking out the medical equipment in service and our pump fleet, we think is a great measure, and that's why I've spent a lot of time going over that. And we're at a $1.57 for the quarter, and that compares for the whole year of last year of $1.56 for 2012. And investing that much and rolling out the number of pumps we've rolled out, we're very pleased with maintaining that ratio. It's a lot of hard work between sales, operation and finance to time those pumps correctly and maintain that turnover ratio at the same level.
Boris Peaker - Oppenheimer & Co. Inc., Research Division: Can you just explain what the ratio is? And that's my last question? This $1.56, $1.57...
Jonathan P. Foster: What I do is I take -- oh, I'm sorry. What we do is we take rental revenue from straight out of the Q. And you go to the footnote on PP&E, and we have a medical equipment in service. When we buy pumps that go into service, if they're rented 1 day, they go into that pump fleet, and they stay. Now they may come out if we sell them, but we don't move them back and forth from inventory to play with the ratio or make things look better. And we literally take rental revenue straight off the face of the income statement and divide it by the costs -- historical cost, not the net book value, but the historical cost of the medical equipment in service, which is essentially our rental fleet.
Eric K. Steen: Boris, I had one additional add-on. As some people know, I had my own consulting business for 1 year before I joined InfuSystem, and InfuSystem was a major client. One of the projects that I had the opportunity to work on with InfuSystem was the salesmen's commission plans for this year. And one metric we've put in place for the first time ever was a utilization metric that impact the sales people's compensation. So we do have an internal metric. It gets confusing. And when you're gaining market share, you don't want to disincent salespeople to get new pumps out there to get new customers. So you can make a decision to exclude new pumps for a certain length of time to not crimp the growth, but we're going to continue to measure and improve our utilization. And I also understand that we need to improve our communications on how we do our utilization, and we'll work on that going forward.
Operator: [Operator Instructions]
Eric K. Steen: Thank you to all and good day.